Operator: Good day, and thank you for standing by, and welcome to the Wabash National Corporation Second Quarter 2021 Earnings Call. [Operator Instructions]. I would now like to hand the conference over to your speaker today, Ryan Reed. Please go ahead.
Ryan Reed: Thank you, Faye. Good morning, everyone, and thanks for joining us on this call. With me today are Brent Yeagy, President and Chief Executive Officer; and Mike Pettit, Chief Financial Officer. Couple of items before we get started. First, please note that this call is being recorded. I'd also like to point out that our earnings release, the slide presentation supplementing today's call and any non-GAAP reconciliations are all available at ir.wabashnational.com. Please refer to Slide 2 in our earnings deck for the company's safe harbor disclosure statement addressing forward-looking statements. I'll now hand it over to Brent for his highlights.
Brent Yeagy: Thanks, Ryan. Good morning, everyone, and thank you for joining us today. I'd like to start by mentioning how pleased we were by second quarter results. The manufacturing environment continues to be challenging for everyone involved, but I feel Wabash National is navigating well in this environment. Second quarter operating profit and EPS came in above our expectations as we executed on the manufacturing side, while controlling our cost structure. I now want to step back and discuss our ability to execute in this environment. We are witnessing a new and heightened level of collaboration and coordination amongst our employees as we navigate possibly the most difficult external environment I've seen in my career. With our new organizational structure, our supply chain, manufacturing and sales teams now work across our businesses to disseminate information and direction more effectively and with higher velocity than ever before. We are delighted, but not surprised because it was our intent to drive this level of management system improvement when we realigned our organization to drive functional excellence as well as a higher level of focus on our customers to expand our entire portfolio of first to final mile. Speaking of our portfolio, I'd also like to congratulate our team on successfully divesting the Extract Technology business at the end of the second quarter. Wabash's acquisition of -- at Walker Group Holdings in 2012 brought a handful of businesses enter our portfolio, most notably, tank trailers and process systems. Extract was also included in that deal and is a leading provider of containment and aseptic systems for the pharmaceutical, healthcare, biotech and chemical markets. Although Extract is an excellent business, our strategy is now squarely focused on the transportation, logistics and distribution industries. As such, our best owner review concluded that we should look to monetize the asset, and we believe Extract is very well situated for the future under the new ownership of Dietrich Engineering Consultants. I'd like to thank the Extract team for their service at Wabash National and wish them all the best in the future. Also on the strategy front, I'm very pleased that Dustin Smith has accepted the position of Chief Strategy Officer. This is a new role for Wabash that is designed to accelerate our pursuit of innovative technologies, expand and increase the velocity of our product development activities as we identify and investigate on working market opportunities within the changing landscape of transportation, logistics and distribution. Dustin has been with Wabash National for 14 years and brings with him broad leadership experience across the areas of finance, manufacturing and supply chain from roles at Wabash and Ford Motor Company. Most of all, he brings with him the trust of his leadership team and the rank and file of this organization. Dustin's primary responsibilities will be twofold; first, he will work directly with Mike Pettit and I as we jointly chart an evolving course to drive profitable growth for our shareholders over the next 5 years; second, he will drive the deployment of current strategic growth initiatives, including Cold Chain and the portfolio expansion of our multi-structural composite technology, leveraging the impact of e-commerce and overall logistics disruption for growth and profitable expansion within updating parts and service. Again, this type of role would not have been possible in the context of prior organizational structure, but given our One Wabash approach, this role now can prioritize high-impact opportunities and marshal resources across the organization to execute our initiatives, achieve our vision and live our purpose of changing how the world reaches you. Now, let's focus on market conditions. Our market indicators continue to show the underpinnings of a very strong set up for ongoing freight activity. Elevated retail sales and depressed business inventories were prompting increased manufacturing production, which is driving strong freight activity within a dislocated freight landscape. As a result, those spot and contract rates reside at very favorable levels for our customers and seem likely to remain well into 2022. Hiring remains a challenge in seemingly all sectors of the economy, and our experience has been no different. That said, the name of the game in 2021 is perseverance, and we continue to make improvement in our progress to increase overall labor capacity in a very challenging environment. Material costs and supply chain performance remain headwinds, but we are handling this in a manner that is considerably better coordinated than in past cycles due to our ability to see the field much better and react in a more deliberate, agile and time-sensitive manner. We're also having a difficult but necessary conversations with our customers about recovering cost increases throughout our backlog, and we continue to work to mitigate the impact of cost increases in other ways. As I mentioned, on the supply chain side, we are working as one team to navigate the uneven landscape and our results have been better than expected given the amount of volatility in our diverse supply base. All types of transportation solutions are in high demand for 2021, and labor and supply chain constraints occurring now have only heightened desire for customers that have demand planning conversations that include 2022 and beyond. That said, our backlog for 2022 has not yet fully been opened. We remain diligently focused on managing demand in a manner that reflects the reality of the challenges of material cost and labor uncertainty and assuring weak priced products in a manner that reflects that environment. That includes the reality the forthcoming demand will likely exceed the industry's and our near-term capacity constraints. We'll talk more about that in a minute. Moving on to backlog. It's very typical for our order backlog to decline sequentially from Q1 to Q2 as we fulfill customer orders and gear up a large deal season for van trailers later in the year. Because of backlog strength in our DPG and FMP segments. Our order book in less than normal seasonality would indicate an overall backlog remained up 77% year-over-year. Moving on to our outlook. We are maintaining our EPS guidance, while material cost increases have been greater than anticipated, our financial performance in Q2 was enough to offset those material cost headwinds. As such, we are leaving our prior guidance essentially intact. Because of the Extract divestiture, we will address our outlook to reflect the absence of that business. We remain on track to ramp our capacity utilization to enter 2022 in a strong manner. I am now going to shift the conversation to discuss how we will better meet the implicit demand for our products and services into the future. As we think about the past, present and future of our manufacturing footprint, we have found ourselves with demand has exceeded physical capacity for the production of dry vans. As a result, we have asked a lot of our workforce in 2018 and 2019 to work significant overtime and many weekends, so that we could fulfill as much customer demand as possible. And even then, we will have customers wanting. Profitable demand for our dry vans has continued to grow over the past decade as we have strengthened our indirect channel, utilized innovative materials to create by far the lightest dry van in the industry and now reorganized our sales force to increase the effectiveness of our commercial efforts. Couple that with the changing logistics landscape, knowing that our customers are uniquely positioned to grow capacity, and 10 years of continued growth in the overall -- in overall trailer demand and it's time for Wabash National to move to increase our ability to capitalize on this profitable opportunity. Therefore, we are announcing the transition of existing manufacturing floor space to produce dry vans beginning in 2023 and we expect to be able to produce an incremental 10,000 dry vans annually. To put these numbers in context, that is roughly a 20% increase in our dry van capacity, but only a 5% increase for the industry. This is obviously a small change for the industry, but a considerable boost to Wabash National's ability to serve our direct customers and supply our indirect channel. To facilitate this move, we will be ramping down manufacturing of our conventional refrigerated van product and converting that floor space to drive van production over the next 18 months. The transition of this existing floor space and this existing highly-skilled labor force creates significant and sustainable financial benefit for Wabash as it provides both top line growth and accretive margin potential. When considering the strategic impact of our Cold Chain growth targets, this aligns with our intent to transition our traditional conventional refrigerated product technology, the far superior and industry-leading Molded Structural Composite technology coupled with a more efficient and innovative future refrigerated van production capability. Molded Structure Composite technology refrigerated vans have over 10 million miles on the road and show better thermal efficiency combined with its lighter weight design. With a differentiated approach to refrigerated trailers that addresses our customers growing needs for sustainability and operating efficiency, we expect to follow up with an announcement of additional Molded Structure Composite refrigerated van assembly capacity in the coming quarters. When we started our journey to disrupt the refrigerated industry several years ago, we did so with the specific intent to jump over the competition with superior technology. We have now reached the point where conventional reefer design is the past and we are all in in commercializing the future. Let me close my portion of the call by saying that I'm extremely proud of our team's performance through these unusual times. In 2020, we posted the best cycle to trough performance in the company's history by generating over $100 million of free cash flow. We now continue to raise the bar on our performance at a different phase of the cycle as we manage through unprecedented labor and supply chain environments, while generating strong operating income. This very obvious improvement doesn't happen by trying harder, these improvements are the result of a refreshed strategy and an organization that is now structured to execute that strategy. All of these exciting changes have happened at a -- precisely the right time as we look forward to continuing this cadence of improved execution paired with the ability to move more thoroughly and more dynamically serving customers in the coming years. With that, I'll hand it over to Mike for his comments.
Michael Pettit: Thanks, Brent. I'd like to start off by giving you some additional color on our second quarter financial results. On a consolidated basis, second quarter revenue was $449 million with consolidated new trailer shipments of approximately 11,590 units during the quarter. Gross margin was 12.4% of sales during the quarter. Operating margin came in at 5% or 4.6% on a non-GAAP adjusted basis. As Brent mentioned, these margins were somewhat above our expectations for the quarter as a result of continued strong cost control. Operating EBITDA for the second quarter was $35 million or 7.8% of sales. This is an EBITDA margin that is consistent with margins generated prior to the pandemic. Finally, for the quarter, net income was $4.3 million or $0.24 per diluted share. On a non-GAAP adjusted basis, EPS was $0.21. From a segment perspective, commercial trailer products generated revenues of $296 million and operating income of $32.3 million. Diversified products group generated $77 million of revenue in the quarter with operating income of $5.8 million or $4 million on a non-GAAP adjusted basis when we take out the gain on the sale of Extract Technology. Final mile products generated $81 million of revenue during the second quarter. Customer demand remained considerably stronger than industry production would show. While labor challenges have been part of the course in this business, supply disruptions have been greater as chassis OEMs have taken unplanned downtime to adjust our capacity to chip shortages and we would expect these chip-related chassis headwinds to continue for the rest of 2020. FMP experienced an operating loss of $3.2 million but a gain at $1.3 million of EBITDA. Because of FMP's heavy and increasing amortization burden, EBITDA provides a more stable measure of progress and more -- and a more relevant measure of impact on cash generation. Operating cash flow during the second quarter was $9.3 million. We invested roughly $6.9 million via capital expenditures, leaving $2.4 million of free cash flow. Working capital increased during the quarter primarily from inventory as volumes continued to ramp, partially offset by strong customer receivables. We remain on a path of achieving a capital-efficient ramp during the remainder of 2021 and we would expect to be free cash flow positive in the second half of the year. Because of our actions to reach our existing capacity to support expanded dry van production, we are increasing our CapEx guidance by $20 million to an anticipated range of $55 million to $60 million in capital spending for 2021. With regard to our balance sheet, our liquidity or cash plus available borrowings as of June 30 was $304 million with $136 million of cash, cash equivalents and restricted cash and $168 million of availability on our revolving credit facility, which is fully untapped. As Brent mentioned, we completed the sale of Extract Technology at the end of the second quarter. In 2020, we announced that we will be reviewing our portfolio of businesses for fit. Since that time, we have divested Extract, fuel tank trailers and sold our last remaining Wabash branch location. These actions come after the divestiture in 2019 at Garsite, an aviation refueling business. Through these non-core asset sales, we have raised a total of approximately $40 million and also structured our portfolio in a manner that aligns with our strategy for growth. We feel great about the businesses that now comprise Wabash National and our corporate development focus is ready to flip from divestitures to building a pipeline of potential acquisitions. The second quarter was a very active on for capital allocation as we used $30 million for debt reduction. $22 million to repurchase shares, $7 million for capital projects and $4 million to fund our quarterly dividend and we still ended the quarter with over $134 million of cash on the balance sheet and net debt leverage of only 2.6 times. Our capital allocation focus continue to prioritize reinvestment in the business through growth CapEx, while also maintaining our dividend and evaluate opportunities for debt reduction, share repurchases and M&A. Moving on to the outlook for 2021, we expect revenue of approximately $1.9 billion to $2 billion. From a revenue perspective, I'd like to remind you that we have a headwind of about $12 million per quarter versus year ago levels as a result of the absence of revenue from what is now too divested business. SG&A as percent of revenue is expected to be in the low 6% range for the full year. Adjusted operating margins are expected to be in the high 3% range at the midpoint, which resulted in an EPS midpoint of $0.72 with a range of $0.67 to $0.77. Again the updates are EPS midpoint is a result of the divestiture of Extract Technology. Turning to the third quarter, we expect revenue in the range of $510 million to $540 million, up 17% at the midpoint sequentially versus Q2 with new trailer shipments of 12,500 to 13,500 as we look to continue increasing production throughout the year. Given our material cost headwinds will intensify as we move through the remainder of this year, we expect operating margins in the high 3% range in Q3. This implied Q3 EPS in a similar range to Q2. In closing, I'm very pleased with our performance for the first half of the year. As is evident from our financial results, the company's execution has been quicker and more decisive, which has been enabled by our new organizational structure. This new structure has proven integral and helping us capitalize on near-term opportunities and we believe it will continue to prove effective as we execute on the medium-term opportunities presented by strong customer demand, as well as the longer-term opportunities in our strategy, which emphasizes organic growth leveraging Wabash as industry leading First to Final Mile portfolio. Expanding our dry van production capacity is an exciting investment that underpins our First to Final Mile strategy and will further enable performance and will strengthen our push toward 8% operating margin, which is a target we continue to expect to achieve by 2023. With that, I'll turn the call back to the operator for questions.
Operator: [Operator Instructions]. Your first question is from Justin Long from Stephens.
Justin Long: So the quarter was better than expected. But with the full-year guidance not changing when you strip out the divestiture that implies the second half outlook has may be moderated a bit. I just wanted to clarify what's changed from that perspective? It sounds like most of that is material cost increases, but is there anything else that's driving that maybe that -- a potential chassis issue, if you could give an update there, given some of the data points we've seen in the industry?
Michael Pettit: Yes. I would say that the main headwind by far is material. So, the team has done a really good job of offsetting as much of the material cost as possible through pricing increases and some of our inherent processes such as hedging will delay some of the material cost increases that we're going to see in the second half of the year. That's a big part of what you see in terms of the margin compression from first half to second half. I think you overlay that with an opportunity that may have been to offset some of that material cost increase with additional volume, it's just not going to be possible in businesses like FMP as you mentioned from chassis. There's a final supply of chassis we're going to get. So, what we would have thought we might have been able to get some additional volume, we're just not going to be able to do that now with the chassis constraints. The demand exceeds our supply of certain commodities and it's not just chassis, as well as fall on refrigerated trailers.
Brent Yeagy: Yes. I think that's the important piece is not to get hung up on any one supplied material. By far, what every manufacturer in this industry and many industries are dealing with is just the inflationary pressures that we feel across the supply base and that's really the conversation. There is no one supply chain element that you can head on and say, if we could do this, volume would begin to just come falling from the trees. That's not going to happen. We are increasing production through the second half of the year because we manage it better than we believe our peers. That doesn't mean that we're not impacted across the board with daily supply chain issues. This is really an inflationary conversation in terms of our first half to our second half of the year.
Justin Long: Understood. That's helpful. And maybe I could shift next to the capacity addition. Brent as you think about this decision strategically to add capacity in 2023. Can you just talk about your comfort in doing that? I mean, obviously that cycle right now is extremely strong, trailer demand is high, where we are in 2023, is a bit more of an unknown, but is there anything that you can share in terms of just longer-term relationships with customers, commitments that they've made that might support this capacity addition and the return on if CapEx investment?
Michael Pettit: Yes. I think the easiest way for us to be thinking about it both here at Wabash National and on the call is that the implicit demand for Wabash National dry vans has grown over the last 10 years by actions that we've undertook and we saw that dry van market share expansion in 2020 when we are relieved from what we call it industry demand constraints. Right? So our capacity exceeded industry demand. We grew market share accordingly while preserving price. When we look at how we believe the industry is now growing. Right? It is growing over the last 10 years that's without really debate, we've seen the peaks get higher. We've seen them extend. The market has shifted, Wabash has shifted accordingly. So, when we think about this dry van capacity addition, we're not playing a cycle, we're not looking to capitalize on a given cycle, this is taking advantage of a structural shift and a clear unmet need for our customers that we are sizing this capacity for. We're not sizing it for what we think the overall industries is doing, we're sizing it for what we talk to our customers about and how they look at their long-term three, five, seven year demand cycles and their communication of unmet need for our product. That's how we look at it, that's why we are very confident in that. This is an excellent investment in the business.
Brent Yeagy: One point to add too, even at mid-cycle volume levels, our existing dry van manufacturing footprint works a tremendous amount [Technical Difficulty].
Justin Long: Cost of adding this capacity. And Mike, how does this change the incremental and decremental [Technical Difficulty].
Michael Pettit: As we move forward, the all-in cost is in the $60 million to $70 million already [Technical Difficulty] we would still expect to be able to be cash flow positive second half of this year and for full year 2022. So this is an investment that is funded through free cash flow and we'll still be able to be positive and generate really good returns on the installed capacity.
Operator: Your next question is from Jeff Kauffman from Vertical Research.
Jeffrey Kauffman: Thank you very much and congratulations on a solid quarter. Just a couple of detailed questions here. In the P&L for DPG, it looked like other operating expense was only about $6 million, normally that'd be about $9 million. Is that because the gain on sale was taken to get numbers and not division?
Michael Pettit: The gain on sale was on DPG business, Jeff.
Jeffrey Kauffman: Okay. 
Michael Pettit: As we continue to ramp up in '21 going into '22. So there is, we had a tailwind on our base currently installed capacity as we get the manpower required to run in 2022. Then you'll add the volume on top of it for 2023.
Brent Yeagy: Yes. We are necessarily talking about the more simple and traditional increases in throughput and capacity and other aspects of the business that are additive to how we believe we will perform in 2022 and beyond.
Jeffrey Kauffman: Okay. And thinking about the refrigerated business, you are making refrigerators out of a different location, I believe basically out of the refrigerated business for about a year while these changes occur?
Michael Pettit: So, what we will be doing is we'll be utilizing the effective capacity at conventional reefers for a -- which is called, we'll call it the majority of 2022. We'll begin ramping that down in the mid-year timeframe. Simultaneously, we will be ramping up assembly capacity for our MSC all composite reefer in an alternative location and that will be early, what I would call, more grassroots capacity additions and then simultaneous to all that, we will be talking about what the future capacity model will be for all composite refrigerated vans in 2023 and beyond.
Jeffrey Kauffman: Okay. And would you say. I think, I heard Mike say we're still thinking 8% operating margins when we get out to 2023. So, now you're saying 8% on the higher volume numbers. So, in effect, it's the guidance increase in terms of profit dollars in the year 2023. Is that the right way to think about it?
Michael Pettit: Absolutely. Jeff, yes. Yes. And we think, as I mentioned, the mix inherent in there on the drivers of the reefer is an enabler to achieve 8% for sure.
Brent Yeagy: Everything that we're doing inside the organization. Jeff is about maximizing profitable growth, first and foremost, and all the actions are summing up to that reality.
Jeffrey Kauffman: Okay and then just one more and then I'm good. So, you mentioned the CapEx increase for this year. How should I think about CapEx as I look out to '22 and '23. Do we still have this elevated $55 million, $60 million spend rate next year? Does it start to come back down toward a more historical level or is there a new historical level since we'll have new facilities and new locations?
Michael Pettit: Yes. I don't want to give specific guidance out to 23 day, but I'll say '22 will be elevated like '21 to finish the capacity installed and then we'll look at '23. I don't see it being elevated forever over the next 5 years. Over the next 2 years, we will need additional capacity to not only do the dry van from reefer swap that we've mentioned, but also to install the MSC capacity that we're going to need in 2023. Yes.
Operator: Your next question is from Felix Boeschen from Raymond James.
Felix Boeschen: I was kind of hoping to stay on the 8% up margins in 2023. It feels like you're around 4% for the full year in 2021 and I understand there is a couple of [indiscernible] cost items in there as we think through labor, maybe raw material supply chain, even premium freight. Maybe two parts and I'm not looking for exact guidance, but can you help us understand how you would expect margins to kind of ramp into 2022 on the way toward that 8%? And then is there a cost, yes, maybe we'll start there.
Michael Pettit: Yes, absolutely. I think the first and foremost is the material cost headwind we are seeing in 2021. So, let me frame that for the people on the call, it's about $120 million of total cost increases we've seen from a material perspective in 2021. Now, the team has done a very good job of offsetting a large percentage of that, is to how we were able to maintain our guidance through the year. That will be fully priced into our 2022 backlog and that's what's opening up here over the last couple of weeks and in the next couple of weeks. That accounting for all of the inflation that we've worked really hard to offset in 2021 will be fully baked into 2022 and that will be the number one improver from the margins that you're thinking about going from the high 3% to 8%. We're going to get a big pop in the trailer market from that. Also obviously as you mentioned, as we're ramping the facilities, there's a lot of off standard labor costs that are hitting all year, a lot of that will be behind us. Those are the two biggest enablers as well as the full-year effect of volume those we ramp through 2021 as we've applied in our guidance will be coming out at a much higher rate. So, those are the items that will really lead to the increase and that should just accelerate in 2023 where we're confident we can hit 8%.
Brent Yeagy: And I would add on the pricing side of it, if you look at the script and you create it again, we talk about the backlog that being fully open. It is safe to say we have tested the market and understanding what price can be in '22 coming out of the gate. We know absolutely how we have raised necessary pricing to offset costs for the fourth quarter, as we lead end of 2022. So, we feel good that the market will allow appropriate pricing to manage this business going forward, offsetting materials accordingly.
Michael Pettit: From a pricing perspective, now that we know what we're looking at going into 2022, it is much easier to stay ahead of it than what it was in 2020 going into 2021 and that's the number one reason we have high degree of confidence that we'll see margin expansion in 2022.
Felix Boeschen: Right. Okay that's helpful and that's kind of exactly where I was going with this line of questioning. And so I'm curious and just on the $120 million raw material headwinds, that's a gross number? Do you have a net number for us after you've repriced some of the backlog, I'd presume.
Michael Pettit: Yes, I'm not going to give you the net, but I'll say that we repriced the majority, the vast majority in order for us to maintain guidance do what we have to had done that, but clearly have not gotten at all and -- but we've gotten a bit...
Brent Yeagy: I would echo a substantial portion far beyond industry norm and far beyond anything Wabash National has executed in the past.
Felix Boeschen: Okay. That's helpful and then just to be clear on your pricing comment and understanding you haven't fully opened the slots for 2022 yet, but whatever that net raw material headwind will be in 2021 off the gross $120 million, would you basically assume that to net up is zero into next year and that's the year-over-year benefit.
Michael Pettit: That would be assuming there is no additional pricing for demand. Yes, that would be the net benefit, that would be I would say the minimum net benefit, would be that delta, but I think there's other opportunities to price for our products in 2022.
Brent Yeagy: And I want to make it very clear that we are pricing for the total environment.
Felix Boeschen: Okay, very helpful. Okay. And then I had a different one. This is more on the capacity expansion. So, obviously, you feel that there's been a shift sort of in the trailer market from the demand perspective, that's not a cycle comment, but in and through cycles, you'll be able to kind of produce at that new level. I'm curious as you look at maybe the rest of the industry. Have you seen anybody else come out and really try to add capacity during this time or do you think that 5% that you would be adding to industry capacity is sort of your expectation over the next couple of years?
Michael Pettit: Yes. I think we would feel very confident that the 5% capacity add that we've done, it will be in that again with intrinsic demand for the products that we have. The unmet need, I think it's safe to say the unmet need for Wabash National dry vans throughout the last 3 to 5 years of market performance exceeds the 10,000 units that we are putting in place. So, we feel pretty comfortable that we will still have conversations with customers about their unmet need even going forward.
Felix Boeschen: Got it. Okay. That's very helpful and then just, this is the last one for me, but I think in your opening remarks, you mentioned cold chain and upfitting has 2 major initiatives. I presume that's on the Final Mile side. I was just wondering if you could maybe give us some color around what percent of the Final Mile both in kind of in-house today and maybe what you're refrigerated split is as a percent of total book?
Brent Yeagy: I think, first off, I want to take a step back from that. And when we think about a bidding in the universe that we play in from first to final mile, we don't necessarily see it limited to just coming off of the traditional final mile called revenue base. We think there are emerging opportunities in first middle and to a degree, I'm sorry, now a final and middle, but also on first mile based on where logistics is going. So, it is really need to be easily looked at total book of business. Now, specific to your question, I'd say roughly, we captured somewhere north of 20% of the product that we've produce today passes through some level of Wabash National upfitting. Whether it'd be at the coupled site or at the primary final assembly factory. We would grow off of that accordingly. We are expanding that thought to middle mile product which we traditionally thought of as a CTP revenue base, but we see that now emerging as logistics continues to change. That's different than maybe how we thought about parts and service five, 10 years ago with the traditional branches and service offerings that we had for CTP. This is a different model and it is because logistics is changing. And can you touch on the cold chain question again to make sure I answer that specifically.
Felix Boeschen: Yes. I was just curious because I know you do some refrigerated bodies and final mile. I was just curious what the updated split was as a percent of total book that's refrigerated and final mile?
Michael Pettit: Yes. Okay. From a revenue perspective today, it's just 15%-ish, 15%, but it's not yet optimized. I think what's important to know when we talk about cold chain, we're talking about that cold chain from first to final mile even outside the core transportation markets and MSC will play, not only in our refrigerated trailers but also in refrigerated truck bodies and inserts and there's lots of opportunities on the horizon for us to really grow that percentage. It's a low percent today. The product hasn't been at differentiating point, but will be with MSC and we're just at the early stages of growing that book of business with MSC truck bodies. It's an opportunity not just in trailers but truck bodies.
Brent Yeagy: Yes. We really have to think about again cold chain, like upfitting. Cold chain now have to be thought of encompassing all of our, we'll call it traditional revenue streams. And we have to manage it because our customers now span accordingly. Right? So, even when we talk about MSC, we talk about it as an enabling technology. It's not a product in and of itself, it's an ingredient. So, when -- as we make moves with reefer bands, you can expect that simultaneously we'll be making moves to scale up integration and value-creating opportunities by broadening that ingredient into our final mile related books of businesses as well and that capacity that we add, those dollars spent will not reside and create value just in one P&L, but multiple P&Ls going forward. That's how we create synergy in our first to final mile application, one Wabash organization.
Operator: We do you have a follow-up question from Jeff Kauffman from Vertical Research.
Jeffrey Kauffman: Mike, can we go back to that $120 million cost increase for 2021. When I think about what that would mean on a per unit basis, am I dividing that by the full year assumed production or just your per site production in the second half of the year? I guess one leads me to an increase of about $2500 a trailer that seems low. The other leads me to about $5000 a trailer that seems high. I'm just trying to figure out how to think about ARPPU forecasting as we're heading into 2022?
Michael Pettit: Yes. So what's important to know, Jeff, is that is -- so that's across our whole book of business, but there is, you're not going to able to get it to box. That's the actual increase we saw incremental to what our hedging programs would have offset. So, the actual cost increase is more than that, but we were able to see through some of our programs with our fixed pricing, with our suppliers or hedging, we're able to blunt some of that. That's the actual impact we saw in the 2021 calendar year that we had to go out, back out to our customer base and trying to offset. We didn't have to offset things that we already have hedged. So, that's why you can't get the number to box.
Brent Yeagy: There's some research that's out there, Jeff, where there's estimates in that $6,000 to $8,000 range.
Michael Pettit: I think one of those pieces was ours. Yes.
Brent Yeagy: That is indicative of the environment, yes, the industry is facing.
Michael Pettit: The total cost increased far exceeds $120 million, the $120 million is the piece of the team in the year 2021 had to offset and that's what's important.
Brent Yeagy: And that wouldn't have been in our implied guidance when we went out earlier in the year and that's -- that means we were able to offset the vast majority of that to maintain guidance. So, the total cost is more than $120 million.
Jeffrey Kauffman: Yes, no, that's helpful, because we had calculated the $6,000 to $8,000 increase and these numbers are coming in lower. So, I was trying to bridge the gap. Thank you.
Michael Pettit: Yes. I think you're pretty close, Jeff. Yes.
Operator: There are no further questions at this time. I will turn the call back over to Ryan Reed.
Ryan Reed: Thanks, Faith. Thanks everyone for joining us today. I look forward to following up during the quarter. Have a great day.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.